Operator: Welcome to 3D Systems First Quarter 2019 Conference Call and Webcast. [Operator Instructions] Please note that this call is being recorded. I will now turn the conference over to your host Stacey Witten, Vice President of Investor Relations. You may begin.
Stacey Witten: Good afternoon and welcome to 3D Systems conference call. I'm Stacey Witten. And with me on the call are Vyomesh Joshi, our President and Chief Executive Officer; John McMullen, Executive Vice President and Chief Financial Officer; and Andy Johnson, Chief Legal Officer. The webcast portion of this call contains a slide presentation that we'll refer to during the call. Those following along on the phone who wish to access the slide portion of this presentation may do so on the Investor Relations section of our website. Participants who would like to ask questions at the end of the session related to matters discussed in this conference call should call in using the phone numbers provided on this slide and in the press release that we issued today. For those who have access to the streaming portion of the webcast, please be aware that there may be a few second delay and you will not be able to post questions via the web. The following discussion and responses to your questions reflect management's views as of today only and will include forward-looking statements as described on this slide. Actual results may differ materially. Additional information about factors that could potentially impact our financial results are included in today's press release and our filings with the SEC, including our most recent annual report on Form 10-K. During this call, we will discuss certain non-GAAP financial measures. In our press release and slides accompanying this webcast, which are both available on our Investor Relations website, you will find additional disclosures regarding these non-GAAP measures, including reconciliations of these measures to comparable GAAP measures. Finally, unless otherwise stated, all comparisons in this call will be against our results for the comparable period of 2018. Now, I'm pleased to turn the call over to Vyomesh Joshi, our CEO. VJ?
Vyomesh Joshi: Thanks, Stacey. Good afternoon everyone. Revenue in the first quarter was $152 million, an 8% decrease from the first quarter of 2018. Excluding large enterprise customer orders from both periods, total revenue decreased 5%. Through the first quarter of 2019, we experienced weaker sales in on-demand manufacturing as a result of business adjustments related to export compliance and outsourcing. Additionally, we saw lower demand from the automotive industry in Europe during the quarter. In the fourth quarter of last year, we began to ship our three new DMP products, the DMP Flex 350, the DMP Factory 350, which includes a Powder Management Unit accessory and the DMP Factory 500. During the first quarter, as the DMP Factory 350 systems had more rigorous use, we identified a technical issue in the Powder Management Unit resulting in level of reliability and robustness below our standards. As a result, we stopped shipments of the Powder Management Units until technical enhancements are complete to ensure quality and repeatability over higher volume and long-term use by customers. Revenue in the first quarter was negatively impacted by approximately $8 million as a result of the timing of shipments of metal printers. Separate of the issue unique to the Powder Management Unit, we increased metals revenue year-over-year, and our DMP printer platform remains a highly reliable, high-quality 3D printer. Despite the challenges in the first quarter, printer unit sales increased 90% mainly driven by Figure 4, SLA and DMP sales. We are pleased with our continued strong growth in printer units across both metals and plastics. Our new products have been well received, and we expect revenue from these products to increase throughout this year, in particular as we introduced additional materials for plastics printers later in the year. Gross profit margin of 43.2% was negatively impacted by under absorption of overhead as a result of the lower revenue and production in the first quarter. We reduced operating expenses both year-over-year and sequentially. While our actions in investments in go-to-market, IT and compliance are not completed, we are making cost structure improvements in parallel by improving productivity and efficiency and streamlining the organization in multiple areas. For the first quarter of 2019, we reported a non-GAAP loss of $0.09 per share and a GAAP loss of $0.22 per share. After John provides additional detail on the results of the quarter, I will discuss the actions we are taking to improve our performance over the balance of the year, including accelerating cost reductions. But first, let me turn it over to John to discuss our first quarter of 2019. John?
John McMullen: Thanks, VJ. Good afternoon, everyone. For the first quarter, we reported revenue of $152 million, a decrease of 8% compared to the first quarter of 2018, including a 3% negative impact from foreign currency. GAAP gross profit margin was 43.2% compared to 46.9% in the first quarter of 2018. GAAP operating expenses decreased 9% to $87 million. We reported a GAAP loss of $0.22 per share in the first quarter of 2019 compared to a loss of $0.19 per share in 2018. We reported a non-GAAP loss of $0.09 per share or $10.1 million in the first quarter of 2019 compared to a non-GAAP loss of $0.03 per share or $3.4 million in the first quarter of 2018. While we expect headwinds from the timing of the large enterprise customers' orders throughout the year, we believe our growth drivers and opportunities remain unchanged. We continue to expect printers, materials, healthcare and software to fuel long-term growth. During the first quarter, printer unit sales increased 90%, but as a result of mix of unit selling prices, credit revenue decreased 29% to $28 million, primarily driven by timing of orders of a large enterprise customer. Printer unit sales, revenue mix and overall average selling price will likely continue to fluctuate specifically as we ramp sales with new products at a wide range of prices from $5,000 to over $1 million. Materials revenue decreased 3% to $41.4 million in the first quarter. A lag time of two to three quarters between printer unit sale and scaling materials utilization is typical. As we discussed last quarter, we are also experiencing a decline in legacy materials at a faster rate than materials related to core and new systems are accelerated. We believe those trends begin to cross this year, and we continue to expect materials growth rates to improve in the second half of 2019. Healthcare services and simulation revenue increased, but the impact of the large customer orders' timing offset those increases, and total healthcare revenue decreased 5% to $50 million. Excluding the larger enterprise customers orders from each year, healthcare revenues increased approximately 18%. We continue to be pleased with the overall demand trends for healthcare, including our NextDent 5100 3D printer. Software revenue decreased 8% to $20.8 million in the first quarter, primarily as a result of lower Cimatron product revenue. While quarterly performance may fluctuate, we continue to expect growth from software long term and are taking actions to improve software growth rates and enhance our software portfolio. On-demand services revenue decreased 12% to $22.6 million in the quarter. We expected headwinds through the second quarter related to the business adjustments, related to export compliance and outsourcing. And we experienced additional weakness from automotive customers in Europe in the first quarter. We reported GAAP gross profit margin of 43.2% in the first quarter of 2019, a decrease of 370 basis points driven by under absorption of supply chain overhead related to lower revenue and production during the quarter, as well as the impact of mix of sales within categories. Non-GAAP gross profit margin in the first quarter of 2019 was 44.2% compared to 47.1% last year. We continue to drive supply chain optimization, manufacturing efficiencies and process improvements, but with inventory reduction actions and lower production at our manufacturing facilities, we expect gross profit margins in the mid-40s of the balance of the year. GAAP operating expenses for the quarter were $87 million, a decrease of 9% compared to the first quarter of 2018, including a 6% decrease in SG&A expenses and a 15% decrease in R&D expenses. Non-GAAP operating expenses in the first quarter were $72.9 million, an 8% decrease from the first quarter of the prior year and a 4% decrease sequentially. Compared to the 2018 quarter, non-GAAP SG&A expenses decreased 5% to $51 million with lower compensation costs, bad debt commissions and building expenses partially offset by higher legal fees. Non-GAAP R&D expenses decreased 15% to $21.9 million, as a result of lower compensation costs and R&D materials as we focus development on materials from software this year. We believe we are beyond the phase of heavy investments we needed to begin to turn the Company around and are focused on reducing costs this year and driving profitability. We used $15.2 million of cash in operations during the first quarter. We ended the quarter with $157.3 million of unrestricted cash on hand. The use of cash during the quarter was driven by the impact of lower-than-anticipated results and higher inventory. While cash use and generation will continue to fluctuate from period-to-period, we expect to generate organic free cash flow in 2019 as we significantly reduce inventory through the end of the year and reduce capital expenditures compared to the prior year. With that, I'll turn the call back to VJ. VJ?
Vyomesh Joshi: Thanks, John. We are focused on improving our cost structure and continue to refine the organization and operations to drive profitable growth. We have taken actions to accelerate previously planned cost reductions and we will be taking additional steps over the coming quarters to reduce total 2019 expenses by $10 million to $15 million on top of our original plans for this year. We're exiting the entertainment business effective Q1 2019, which will reduce our revenue by approximately $12 million for the year but will improve overall profitability. We are migrating to two primary businesss within the Company: one, which includes plastics and metals hardware and materials and on demand services; and the second one with the software and healthcare workflow solutions. We believe this refinement to our businesses' structure provides synergies within each group and enables us to better leverage resources. With this, metals will move under Phil Schultz and healthcare will move under Radhika Krishnan, which enables us to streamline the leadership team and organizations to reduce costs as well as align our structure to growth opportunities. In addition to more aggressive cost actions, we expect to continue to ramp sales of our new platforms and see continued overall units growth and market share improvements. As a result of unit sales over the last year, we expect materials growth to improve in the second half of 2019 and we plan to launch new materials for plastics this year, which we believe will help fuel additional growth later this year and into 2020. We expect to continue to ramp sales of our DMP printers and put in place technical enhancements for the Powder Management Unit this year. Last month, we launched an online portal for on demand services. The portal standardizes and automates export-related processes, which we believe helps us return to growth in our on-demand services. With the combination of software and healthcare, we believe we are further expanding our workflow solution opportunities to accelerate growth. With the breadth and strength of our portfolio, we continue to have significant market opportunities and we remain committed to executing on our strategy and driving long-term profitable growth. And with that, I would like to turn the call back to Stacey who will open the floor for questions. Stacey?
Stacey Witten: Thanks, VJ. We'll now open the call for questions. (Operator Instructions) As a reminder, please direct all questions to the teleconference portion of this call. The telephone numbers are provided again on this slide. If you're calling inside the U.S., the number of 1-877-407-8291 and if you're calling outside the US, the number is 201-689-8345.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question today comes from Ananda Baruah of Loop Capital. Please go ahead.
Ananda Baruah: Hi, good afternoon.
John McMullen: Hey, Ananda.
Ananda Baruah: Hey, there John. Thank you for taking the question. Yeah, just two, if I could really quick, so just clarification on the revenue dynamics guys, you talked of seeing slowing in auto softness. VJ also referenced timing of orders of large enterprise customers a couple of times. And then, there is the Powder Management dynamic through with metals. So it sounds like some of these -- so just -- and here what I'm trying to foot, timing of orders, does that suggest that those are coming back? And you think that that's less secular or structural? And is that different than the auto softness? And so, if you could just put those and then, sort of how do we think about the Powder Management in that too? Thanks.
Vyomesh Joshi: Yeah. So I think -- yeah, the enterprise customer is not a secular thing. It's about how they are building their factories to really support the growth. And that customer business is doing extremely well. And my view is that basically the order -- how they'll be coming into the quarter is going to be different than how they're building the factory. Now, we do see that still a headwind for the 2019, but this is not a secular issue. In terms of the metals, it's a technical issue. And we understand the core reason of the technical issue, and we are working on couple of solutions and we will be able to really ship because my view is quality/reliability is our number one priority, and I don't want to ship anything till we meet our quality and reliability standards.
Ananda Baruah: And do you have a sense of when that will be rectified? How would you like us to think about it?
Vyomesh Joshi: I think we should think about that into second half because I want to make sure we test our solution, and we will be able to introduce in the second half.
Ananda Baruah: Okay. Got it. And then just a quick follow-up, John how should we think about OpEx levels now given that you're accelerating some of the cost action, and then that's it for me guys. Thanks.
John McMullen: Yeah. I think directionally from Q1 to Q2, I think about the little bit of linearity upwards, partially driven by our plans in the second quarter, but also because of our annual salary increases that we rolled out at the beginning of the second quarter. So maybe a bit of an uptick, but then pretty flattish in general throughout the balance of the year as we continue to take cost out of the number of dimensions.
Vyomesh Joshi: I think it's important to understand that we are trying to really organize now the Company with the right business model and that will become the enabler also in taking the cost out. This is very important for the Company. I think we are the great platforms. We are going to start seeing the materials growth in the second half. We need to now work on the cost structure.
Ananda Baruah: Got it. Thanks a lot.
John McMullen: Thank you.
Operator: Your next question comes from Hendi Susanto of G. Research. Please go ahead.
Hendi Susanto: Good evening, VJ and John.
John McMullen: Good evening.
Hendi Susanto: John, you mentioned that gross margin will be in the mid-40% for the balance of the year. Would you please share what your assumptions of gross margin across products, materials and services? I'm wondering whether the weakness in gross margin is due to printer gross margin as we anticipate like growth to recover in the second half of 2019?
John McMullen: Yeah. The lower margins in Q1 were really driven on the hardware side of the business and we -- as we talked about in the prepared materials, we did have under absorption issues in our own internal factories because of mix of business and in where production was and where production wasn't. And as we look at our forward projections, our basis for saying mid-40s roughly through the balance of year is the assumption that we're still going to see some of that in our internal factories. Materials gross margins were 70% in the first quarter. So as VJ talked about with growth increasing in the second half on that. That bodes well for materials margins, but we're going to stick with that kind of the mid-40s until we see anything different.
Vyomesh Joshi: I think we are dealing in a balancing game here because we want to reduce our inventories significantly. And when you do that, you're managing the production of our products and that's the utilization that we want to do because we want to make sure we bring our inventory down and really start generating cash for the Company and that's a balancing game because what you will have to do is really reduce the production and that utilization is also important. That's why what we're trying to do is get the Company into the right place from the product portfolio, the right kind of inventory that we will be able to manage to. And then, again the materials having that 70% margin and then having that growth in second half will allow us to really manage this transition that I'm talking about.
Hendi Susanto: And then second question, how should we think about ASP and product mix trend like you had high unit growth, but printer revenue still seeing some decline. I'm wondering whether there's some product mix --.
Vyomesh Joshi: Yeah. There are two things. Here, one when you have that enterprise customer that we talked about, the price point of those units and the metals is very different compared to when we shipped our dental units and that the unit growth of 90%, a lot of those units are Figure Four and the low end of the market like the MJPs. But when you have metals and that enterprise customer on the SLA products, that ASP number will be very different. So I think we need to smooth that out. And then as John always talked about because we have a range of product going from $5,000 to $1 million, it'll be very hard to really say where the ASP will land, but what we can confidently say that we're going to see -- continue to see the unit growth, which means that we're gaining share in the market -- the unit market share.
Hendi Susanto: Thank you, John. Thank you, VJ.
John McMullen: Thank you.
Vyomesh Joshi: Thank you.
Operator: The next question comes from David Ryzhik of Susquehanna Financial Group. Please go ahead.
John McMullen: Hey, David.
Vyomesh Joshi: Hey, David.
David Ryzhik: Hi, thank you so much for taking the question. So I just wanted to clarify the $8 million in timing of shipments of metal printers. That's not related to the enterprise customer. And I believe related to my enterprise customer, you didn't really provide any estimates on whether those orders are going to come back or not? For the rest of the metal printers, should we assume that, that $8 million timing is shipped in the second quarter?
Vyomesh Joshi: No. So that would be answer two questions. So yes, you are right. The metal printers, $8 million has nothing to do with the enterprise customer. Enterprise customer we talked about is a plastics customer, so that's the first thing. As far as the metals issues getting all solved in Q2 will not happen. This is a really something that we will continue to see in Q2. And then in second half, we will be able to ship the technical issue that I talked about. And then, in terms of the seasonality of the order pattern of the enterprise customer, they are ordering units. It's just that when you are building a factory, you're going to order many more units in certain quarter and certain quarters, you are not. So I think that's what we are really having the headwind from. It's not that they are not ordering. It's just that their pattern is going to be different depending on how they're going to build their factory.
David Ryzhik: Understood. Thank you. And then can you offer some insight into the materials utilization for some of the lower-priced units? The (inaudible) and the Figure 4, is it like 20% to 30% of price per year? Is there anyway we can think about that --.
Vyomesh Joshi: No. We are not -- yes, we don't give that. But let me just be very specific. We are participating in an industrial segment and not in a consumer segment. That's a very important distinction. Second thing is these products have -- say, for example, dental, I can specifically talk about dental. Dental products in Figure 4 has substantial usage. I won't give you the exact number, but there where we can build the annuity on materials are very, very -- very -- clearly a very profitable business that we can build on the annuity of the dental material. And again, we absolutely believe after the second -- in the second half, meaning second -- between third and fourth quarter of '19 and '20, you're going to see positive materials growth. And I've been very (inaudible).
David Ryzhik: Got it. Thanks so much, VJ.
Vyomesh Joshi: Thank you.
Operator: Your next question comes from Wamsi Mohan of Bank of America Merrill Lynch. Please go ahead.
Vyomesh Joshi: Hey, Wamsi.
Wamsi Mohan: Hey, VJ. Hey, John. Thanks for taking the questions. So you've made this comment a couple of times about how you're expecting a pickup in materials growth in the second half. Can you give us some sense of your materials revenue? How much of that is related to the older declining base versus the growth areas because you seem pretty confident that the crossover is going to happen here fairly imminently, can you give us some sense of how dependent it is on, sort of, in-period printer sales and also maybe the split across sort of the declining versus the growth areas and magnitude maybe even rough percent?
Vyomesh Joshi: Yeah. So I won't be able to give you the percentage, but let me give you the -- basically, the way we think about materials growth. We have legacy printers, which are old printers where essentially that usage has gone down either because they are using competitive materials or some of them are retired or some of them are replaced. And that legacy was still a big portion of it for many years and that is coming down. The new printers we are seeing growth consistent with the usage assumptions that we're having. So what I'm talking about there are Figure Four, 6100, our dental unit. And then the core business, which is our SLA machines, our SLS machines, our MJP machines; these core is also continue to grow. So as we get our legacy decline being offset by our core and new materials, that's why we are confident that in second half of 2019, we're going to see positive materials growth.
John McMullen: And I think once we talked about this, I think a little bit last quarter typically. We have pretty good analytical models that we have built over the past year to track and update around this. So it's -- we have decent predictability, capability here.
Wamsi Mohan: Okay. Thanks a lot. And then just thinking about this business that you're exiting the entertainment business, I think you said $12 million. Is that for this year or is that the magnitude of the entirety and there will be some sort of exit hit even into going into next year, or how soon do you think that this exit is going to happen? And can you also give us some sense of the profitability of that like the gross margin and EPS impact from the exit?
John McMullen: Yeah. For -- we've already pulled -- for non-GAAP purposes, we've already pulled that out of our numbers effective Q1. So we've made that decision on (inaudible) estimate of the annual revenue, which I think in the prepared materials was $12 million. It's kind of an order of magnitude of what comes out for this year. We didn't specifically mention, nor will we around the profitability, but the nature of exiting there and our ability to focus on things that at this point a more core to us and we do believe that will impact profitability over time for the Company.
Wamsi Mohan: Yeah. Thank you.
Vyomesh Joshi: Thanks, Wamsi.
Operator: Your next question comes from Jim Ricchiuti of Needham & Company. Please go ahead.
Jim Ricchiuti: Hi. Just as a follow-up. I may have missed it, but did you characterize what areas this $12 million of revenues coming out of?
Vyomesh Joshi: Well, this is a business that we work with the studios. And we will be digital. I think that's the business we are talking about.
Jim Ricchiuti: Got it. That makes sense. I missed it, VJ. Thank you for the clarification. Just regarding the healthcare...
Vyomesh Joshi: It's primarily a services business. It's primarily a services business. Go ahead please.
Jim Ricchiuti: No. That's helpful. And I'm interested in with respect to this enterprise healthcare customer, it sounds like at least from what you're characterizing it, there you have enough visibility to -- into the business, into the ordering patterns to suggest that it may be -- it may continue to be weak over the balance of '19. Is that a fair characterization? While there is still ordering, they're not ordering perhaps at levels that you had initially anticipated?
Vyomesh Joshi: No. The thing that we are seeing is the order pattern is very different. Some quarters like in last year in Q1, they had a big order. In this quarter, we had a smaller order. So I think that's what I'm talking about. But overall, they are continuing to grow. They're doing extremely well in the marketplace. It's just that the way they order their machines depending on how they want to build the factory, when they turn on those machines, and so that they will be part of their overall production line. And those things are not going to be choppy. It's not going to be all clean here and I think that's what we're trying to make sure -- and that's what we started talking about (inaudible) because we want to make sure that you all understand that, that could have a significant impact on our printer hardware revenue growth and we just wanted to make sure you model that. That will continue in Q2 and some of that also in Q3 and Q4. Meaning the amount of -- the products that they will order will be different. And I think that's what we are trying to explain.
Jim Ricchiuti: Okay. Was it your -- I think so. I'm just thinking in terms of the healthcare business overall. It sounds like ex this customer, you showed a pretty good growth. Is it your expectations that the healthcare business even with these -- this choppiness with this customer would be able to grow this year?
Vyomesh Joshi: Yeah. If you take that out, we will continue to grow the healthcare business. The healthcare business has been growing last all these years and we will continue to grow. That business is very, very much -- we are really doing extremely well in the healthcare business. But because of this enterprise customer, we are seeing that gyration is that, that's just basically nothing to do with that customers business. It's just the way their order of pattern is.
Jim Ricchiuti: Thank you.
John McMullen: Thank you.
Operator: Your next question is from Troy Jensen of Piper Jaffray. Please go ahead.
Troy Jensen: Hey, gentlemen. Hey. So if you go back on the powder management problem, does that platform just working on the 500 series?
Vyomesh Joshi: No. They work on both 350 and 500, the powder management. It's just -- for powder management, problem is a unit which you could buy either with 350 or with 500. But the issue is the integration of 350 and the powder management because the powder management approach on 500 is very robust.
Troy Jensen: Okay. Can you talk about just like maybe a percentage of the metal sales that have the powder management attached to it or the pipeline? Is it....
Vyomesh Joshi: It's a new product. So -- It's a new product. Frankly, we wanted to make sure that we do thorough testing and we want to make sure we do it the right kind of approach for -- before we ship. In Q1, our metals was both the 350 what we call factory and 500. The 500, there is more about characterization. We want to make sure with -- for our customers we characterized. But I just want to make sure you hear that our core issue really is in the Powder Management Unit for 350 factory and that's what we're working on.
Troy Jensen: So I guess what I'm asking is if you look forward into the pipeline, what percentage of your metal opportunities have this powder management attached to it? Should we assume little to no metal revenues (inaudible) people will still buy the platform?
Vyomesh Joshi: No, no, no. Let's be clear on this. First of all, the 350 platform, the 350 Flex is doing extremely well. We grew revenue year-over-year in 350 kind of category. So I just want to make sure our metal business actually did extremely well except for the 350 Powder Management Unit shipment that I talked about. So that's very important to understand. So our metal business is absolutely growing year-over-year. What we had expected that we will be able to ship the other metal units is where that $8 million problem that I'm talking about.
John McMullen: We've seen good early demand for that so far, Troy.
Troy Jensen: All right.
John McMullen: But that's how we kind of characterize between that and timing of 500 orders how we characterize that $8 million.
Vyomesh Joshi: So I think in summary, overall our metal business is doing extremely well. We are growing revenue in the metal business year-over-year. We had orders for these units that we would not able to ship because of the technical issue.
Troy Jensen: Understood. Okay. And VJ just one follow-up for you. Figure 4 update, are you now shipping all four platforms or are there is a couple of still coming?
Vyomesh Joshi: The modular is the one, which we're not shipping yet and that will start shipping in June.
Troy Jensen: And that's the higher end. That's the big one right with the RobotiX (inaudible)?
Vyomesh Joshi: No, not the big one, but the one...
John McMullen: In the middle. But actually, we're able to ship production.
Vyomesh Joshi: The production unit, we have shipped already.
Troy Jensen: Okay. Hi, guys. Good luck going forward.
Vyomesh Joshi: Thanks.
Troy Jensen: Thanks.
Operator: The next question is from Shannon Cross of Cross Research. Please go ahead.
Shannon Cross: Thank you very much. Hello.
Vyomesh Joshi: Hey, Shannon.
Shannon Cross: So just a couple of questions, just not to be the materials -- of course to that whatever, but when we think about usage per device on a like-for-like basis, when we think about pricing and then also if there is any pressure from aftermarket, I just want to understand a little bit more some of the dynamics behind the supplies of the materials revenue specifically? Thank you.
Vyomesh Joshi: So depending on the category and depending on the price, the usage will be different. Okay. That's the first thing that I want to make sure that everybody understands. The other important thing I'm saying is we're only participating in the industrial segment. That means every printer that we ship has substantial usage, so that we will able to enjoy the annuity stream. That's the second point I want to make. Because we have our own proprietary materials, we actually have confidence in our market share of our materials. Now in some cases, we are seeing competition. Specifically, we're seeing competition in our wax products for MJP, especially in China and some of the older legacy materials that I talked about and that's where we are seeing (inaudible) competition.
Shannon Cross: And is it manifesting itself -- I mean are you having to take prices down, or are you just not willing to go there, so you lose share to some of those players over time?
Vyomesh Joshi: In some cases, we did adjust some pricing, but we are looking at a system point of view because we need to make sure that we look at our hardware pricing and the materials pricing. But -- that's the approach that we have to take. But in -- overall, we are not seeing as much a competition from third-party materials.
Shannon Cross: Okay. And then, I have --.
Vyomesh Joshi: I give you new specific examples that we are seeing competition.
Shannon Cross: Okay. Thank you. And then, I understand moving away from the Hollywood business, which is really core. I'm curious if there are any other businesses that are looking at the vesting, maybe as part of the cost reductions or just separate from that?
Vyomesh Joshi: So I think what we're doing is we're always looking at our portfolio. And I wanted to make sure first thing that I want to do was turn around the Company, then figure out where we want to take the Company. And I'm mentioning that now, I see there are two business models, a hardware, printer materials and on-demand business and then workflow-based production, workflow-based for software and healthcare. And those are going to be our two key pillars that I want to organize around that. And then, I want to really look at our businesses and make sure what is synergistically aligned and what is not and we will make that decision. I think it's important now to really focus the Company. We got the great platforms. We are getting our materials into the right place. Our export compliance, we're addressing that with our ODM business now. What we need to do is to grow our materials and then stay cost out. So I think that's what we want to do.
Shannon Cross: Okay. And then, finally, just in terms of Figure 4, I'm curious as to who you are seeing [indiscernible] You're getting a lot of repeat customers in terms of certain verticals? Just any more color you can talk about.
Vyomesh Joshi: So number one segment for Figure 4 is dental. Our dental business is doing extremely well. We are penetrating the dental labs and we are now globalizing it. So my view is if you're going to see the dental business Figure 4 growing continue to grow in 2019 and that materials growth will be also very crucial for our materials business. The second segment that we are really looking at the Figure 4 is on what I call the design verification market where we will be able -- the enterprise customer will be buying that in their R&D labs to really evaluate the additive manufacturing technology. As we develop new materials, our penetration of this technology into the other segments is going to continue to happen. But it's really -- in my mind, it's a material development game. We have a very robust platform. We just need to offer more materials.
Shannon Cross: Right. Thank you very much.
John McMullen: Thanks, Shannon.
Operator: Your next question is from Greg Palm of Craig-Hallum Capital Group. Please go ahead.
Vyomesh Joshi: Hey, Greg.
Danny Eggerichs: This is actually Danny Eggerichs, John for Greg Palm today. Thanks for taking the questions.
John McMullen: Hey, David.
Danny Eggerichs: I know you had mentioned your materials gross margins were around 70% this quarter. As we come up in the second half of the year like as you mentioned, you expect the faster new accelerating to cross with the declining legacy, how do you -- how would you like us to look at gross margins for materials?
Vyomesh Joshi: I think we should be continued to having that 70% gross margin.
Danny Eggerichs: Okay. Then, I guess just looking forward into the second half of the year just in demand areas, where are you looking to see strength in demand and possible weaknesses as well.
Vyomesh Joshi: Well, I think if you look at overall portfolio, metals is very strong. I think that's going to continue to have the demand. Our SLA platforms are very, very -- in my mind, world-class and we're going to continue to see SLA. Our dental business is very, very strong. And we're going to continue to drive more growth in the dental business. The next will be the Figure 4 with the new materials. I feel very good about that. We will continue to grow our wax-based MJP printer and then, the last one is our SLS machine with 6,100.
Danny Eggerichs: Okay. I appreciate the color.
Operator: Your next question is from Ananda Baruah of Loop Capital. Please go ahead.
Vyomesh Joshi: Yeah. Second question.
Ananda Baruah: Yeah. When I get a follow-up in there, VJ just sort of listening to sort of the rest of the comments on the call. Do you -- I think last quarter, you said that you guys thought you would grow the business this year overall. Two questions, do you think -- do you still feel that's possible and then, second question, the answer to that is no. Once sort of normalizing for these items that you are talking to sort of denied, I think the business and then, sort of the powder management issue with the rest of the business you expected to grow year-over-year?
Vyomesh Joshi: I think my opinion is in second half, we should be able to grow the business. And I think by then, our ODM business will start growing. If you look at that business, decline in year-over-year in Q1 with our export compliance portal. Hopefully, in a couple of quarters, we should be able to grow that business. We will solve our metal technical issues. We will grow that business and already dental is growing. As I said, our SLA business is very strong. SLS business is strong. So I expect that provided we solve these things, we will be able to grow in second half of 2019.
Ananda Baruah: Okay. Great. Okay, that's great. I appreciate it guys. That's it for me. Thanks.
John McMullen: Thanks.
Operator: [Operator Instructions] Our next question comes from Hendi Susanto of G. Research. Please go ahead.
Vyomesh Joshi: Hendi, yeah. Second question, go ahead.
Hendi Susanto: Third time is the charm. John, with regard to higher cost reduction target, how much will the cost be and how much cost-saving we should expect toward bottom line versus reinvestment?
John McMullen: Yeah. I think in VJ's prepared comments, he talked about $10 million to $15 million throughout the course of this year beyond what we had planned. So the expectation would be that the majority of that would be in OpEx, but part of that would be in cost of goods sold and the majority of those costs will be made to improve the performance of the P&L. We won't be investing significant parts of those cost reductions certainly not this year.
Hendi Susanto: And then, how much like special restructuring costs will be toward that additional $10 million to $15 million of overall cost savings for 2019?
John McMullen: Yeah. I would say, we are not taking a specific number, but as we've taken actions, it's been people-related costs. We show those in the GAAP to non-GAAP reconciliation. So if you look at that GAAP to non-GAAP reconciliation for example, you will get a sense of what the impact was this quarter. And we will provide that information every quarter.
Hendi Susanto: Got it. Thank you.
John McMullen: Thank you. Take care.
Operator: There are no further questions at this time. I'll now turn the call over to Stacey Witten for closing remarks.
Stacey Witten: Thank you for joining us today and for your continued support of 3D Systems. A replay of this webcast will be made available after the call on the Investor Relations section of our website, www.3dsystems.com/investor. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.+